Operator: Good day. My name is Dennis, and I will be your conference operator. [Operator Instructions] I would like to welcome everyone to the -- On Holding AG First Quarter 2024 Results Conference Call. I would now like to turn the conference over to Jerrit Peter, Head of Investor Relations. Please go ahead. 
Jerrit Peter: Good afternoon, good morning, and thank you for joining on 2024 first quarter earnings conference call and webcast. With me today on the call are Executive Co-Chairman and Co-Founder Caspar Coppetti; CFO and Co-CEO, Martin Hoffman; and Co-CEO, Marc Maurer.   Before we begin, I would briefly remind everyone that today's call contains forward-looking statements within the meaning of the federal securities laws. These forward-looking statements reflect our current expectations and beliefs only and are subject to certain risks and uncertainties that could cause actual results to differ materially. Please refer to our 20-F filed with the SEC on March 12 for a detailed discussion of such risks and uncertainties.   We will further reference certain non-IFRS financial measures such as adjusted EBITDA and adjusted EBITDA margin. These measures are not intended to be considered in isolation or as a substitute for the financial information presented in accordance with IFRS. Please refer to today's release for a reconciliation to the most comparable IFRS measures. We will begin with Casper followed by Martin leading through today's prepared remarks, after which, we are looking forward to opening the call for a Q&A session.   With that, I'm very happy to turn over the call to Caspar. 
Caspar Coppetti: Thank you for joining us today. Martin, Marc and I are in great spirits as we had a fantastic start to 2024, with net sales of CHF 508 million in the first quarter on for the first time, surpassed CHF 0.5 billion mark in a single quarter. We have continued to grow very substantially, just shy of 30% on a constant currency basis and made great progress in every region, channel and category. What makes us especially proud is that we are achieving this growth at an ever-increasing higher profitability. Our gross profit margin of close to 60% in the first quarter underscores the power of our strategy to be the most premium global sports brand.   Allow me to shine some light on the progress that On has made in our core strategic areas. At on, everything starts with running the Lightning and ran strategy, winning on the race course with next-level innovation and gaining market share with everyday runners, continues to deliver for the on brand. 3 weeks ago, [ Helen ] over won the Merson in Boston for the second time, the first woman in 2 decades to go back to back. She was running in On head to toe, including groundbreaking new footwear technology, which On will reveal in Paris this summer. We would like to congratulate [ Helen ] and also thank our innovation team for the incredible work in developing the fastest raced products. The rain element of this strategy means converting the credibility of our innovations and athlete successes to market share gains with everyday runners enjoying their local running routes.   In our new global run count, we are seeing very positive results across all regions with market shares of more than 10% in cities such as Tokyo and Berlin and across key cities in the U.S. from Boston down to Nashville and from San Francisco down to L.A. The market share gains are clearly driven by the success and fast adoption of our latest high-performance running franchises, Cloudmonster, [ Cloud Server and Cotrone ] -- we are also seeing a very positive effect of the local run clubs that we are organizing from our own stores, particularly in key cities like Tokyo, Berlin and Los Angeles, which brings me to an update on our own retail expansion, which is progressing well and delivering outstanding results.   In Q1, we opened stores in Berlin and Portland, Oregon, which brings us to over 50 stores globally, 34 of which are owned and operated by on. Stores in Paris, [ Janedis ], Milan and Austin, Texas, will open in the coming months.   On the wholesale side of the business, we continue our disciplined strategy of being very intentional in choosing the right partners and adequate door footprint with a clear focus on performance and young consumers. On our road to becoming the #1 running brand, we continue to win market share in run specialty stores. [ Wilde ] sporting goods provides us with access to high school and college athletes, who on resonates with particularly strong. In Q1, we went live with [ Zalando ] in our EMEA markets, an important digital marketplace in the region to connect the -- On brand with additional younger consumers.   Last not least, we have also made strong progress on our apparel initiatives through resizing our entire collection to fit more customers in a consistent way. We have significantly increased our addressable market. Just a week ago, we introduced FKA Twigs as a new creative partner and the face of our upcoming training collection that will be launched in August.   Over the past weeks, we have also rolled out our first apparel collection in tennis, and fans can now wear the same look as seen on [ Bengalon and Digoiatec ]. Particularly, apparel showed extremely strong demand in our D2C e-com and our own retail channels with apparel contributing around 25 of purchases at, for example, our Paris Santamera store. You can tell that after such a strong start, we are very optimistic for the remainder of the year with many more highlights to come, not least being the Olympics and Paris.   Before I hand over to Martin for the financials, I would like to point your attention to next week's Annual Shareholders Meeting. We are very excited that Laura mile stands for election as an addition to our Board of Directors. As President of Electronic Arts, entertainment and technology, we feel that [ Laura ] can bring a lot of expertise, creativity and technology insights to our Board. We look forward to receiving your support on our election and the remaining motions proposed by the Board. Over to you, Martin. 
Martin Hoffmann: Thank you, Caspar, and hello, everyone. You summarized it very nicely. We continue to rapidly and successfully execute on our vision and goals that we communicated during our Investor Day last October. At the same time, the passion, innovation and entrepreneurial spirit in our team continues to create products, results and impact that drive excitement far beyond the pure execution of the plan. You already mentioned Helena very, but other members of our growing athlete team are bringing home more wins and metals almost on a weekly basis. From a new mile record at a panels to dates Abrahams impressive victory and Swiss record at the Barcelona Marathon, [ Legate ] and [ Bencheldon's ] respective tournament wins on play in Madrid and Houston. Another example was our global meeting, where we brought our teams together a few weeks ago to present our new products for spring 2025.   Our team created a runway show that would have easily turned heads at any major fashion event and ignited in an unimaginable level of energy for our future apparel business. This will certainly be felt by our wholesale partners when we shared it with them in the coming weeks. The energy in the different teams shows the power of bringing together a diverse set of people each with an individual mission behind the coming call to display the ultimate embodiment of teamwork. -- team, we are really grateful for all your great work.   With that, let me move on to providing a more in-depth review of our Q1 results. We had an exceptional Q1, which was ahead of our expectations. Caspar mentioned it, but it's worth repeating. For the first time in history, we exceeded CHF 500 million in net sales in a single quarter, a nice milestone. Net sales for the quarter reached CHF 508.2 million, growing 20.9% year-over-year. As expected and discussed on our call in March, this includes considerable FX translation impact from the conversion to our reported currency Swiss francs.   On a constant currency basis, on grew by 29.2% in the first quarter of 2024. This growth is supported by the strong consumer demand that we have seen across all our channels and geographies. The majority of growth has again come from the strength of our direct-to-consumer channel, resulting in a significant increase of our DTC mix by almost 500 basis points from 32.6% in Q1 '23 to 37.5% in Q1 '24. We net sales grew by 39% versus the prior year period, contributing CHF 190.5 million to our top line. Currency neutral, growth was even higher than that at 48.7%. We continue to successfully optimize and expand our digital ecosystem. Caspar already mentioned the expansion of our digital marketplace at Zalando.   In Q1, we also launched our first commercial app, which is now available across the globe and which will allow for the most intimate customer relationship across all of our digital outlets. The app serves as a key pillar in our digital strategy to further enhance the customer experience, more personalized offerings and to ultimately drive loyalty and deeper customer value. With that, we are also investing in our membership program. We have tripled the number of members in each of the past 2 years, but still have a huge potential to increase the share and value of our customers that connect more closely with on through this channel.   As our growing own retail network becomes a more important part of our D2C ecosystem, we have a strong focus on a seamless omnichannel experience across all customer touch points, consistently meeting the customer in whichever environment they prefer. -- also grew by 12.2% year-over-year, reaching CHF 317.7 million in the first quarter. On a constant currency basis, wholesale growth was 19.8%. As previously discussed on our last call, this slightly more modest Q1 growth rate in the wholesale channel was expected and very much intentional. In EMEA, the closure of a number of nonstrategic doors allows us to focus on the premium performance position of the brand.   And number two, in Q1 last year, our wholesale revenues were helped by the initial selling into large new key account partners, which are now driving strong controlled sell-out growth. The same overall dynamics discussed above are of course visible when considering our net sales performance by region. Starting in EMEA, which grew by 6.1% to reach CHF 126.2 million in Q1. On a constant currency basis, growth was 10.4%. While the store closures led to a temporary reduction of our wholesale sales in the DACH region, DTCD growth in the respective markets has accelerated, and we continue to see strong growth in all other EMEA markets.   The strength of our DTC business in EMEA continues to be exceptionally and strongly validates our strategic priorities in the region. This is evident from the very strong start we have had in our new retail store in Berlin, but also significant traction and growth in some of our still nascent markets such as France, Spain and Italy, largely driven by our D2C channel. Our Americas business also started off strongly in Q1 and demand for the brand remains high. In comparison to a prior year period that was elevated as a result of the initial sell-in into some of our key accounts.   Net sales in the region grew by 22% year-over-year to CHF 29.6 million. The underlying constant currency growth was 30.4%. The -- while we again had quite significant FX translation impacts in Q1. We expect the translation impact to be less pronounced during the remainder of 2024, if the current U.S. dollar Swiss franc spot rate persists. Caspar mentioned, the run account success in the U.S. in particular. We are very pleased to continue to observe the increased brand awareness in our core communities, converting to high-quality demand and exceptional sellout strengths in our strategic focus areas.   While the vast majority of our Americas business is from the United States, we continue to gain momentum in Latin America. Our sales in Brazil, for example, doubled compared to Q1 2023. We -- we're also see incredible momentum in the Asia Pacific region, which for the first time in our history, made up for more than 10% of our overall business. Growth of 68.6% compared to the prior year period, led to net sales of CHF 52.4 million in Q1.   On a constant currency basis, growth was at an amazing 90.7% year-over-year. With the unprecedented demand levels across the region, it is difficult to call out a specific highlight. But if I had to pick one, it would be the acceleration we are seeing in Japan. If you be into Tokyo recently and visited our store, you would know what we are talking about. The store loan has more than doubled net sales year-over-year, a true testament to the brand heat in the region and the success of our own retail execution.   Turning to our performance by product category. Net sales from shoes grew by 21% to CHF 484.7 million in the first quarter. As already alluded to, we are very happy with the fact that our performance running vertical has contributed the majority of the year-over-year growth. The launch of the Cloudmonster 2 has continued the incredible performance of this highly successful franchise. With the upcoming launches of the Cloudrunner 2 later this week and the cloud server next in late summer with a strong pipeline of innovation to come in our running lineup that will allow us to continue to win market share.   In our performance all day category, the cloud tilt has exceeded our expectations and demand is significantly higher than supply. Net rest growth in apparel was 16.7% year-over-year, resulting in CHF 19.7 million for the first quarter.   The underlying demand was significantly stronger, exemplified by our DTC channels where apparel grew at a much faster rate than shoes, albeit off a much smaller base. Also, as announced, we have updated the sizing on the majority of our collection to more consistently meet and deliver the right fit for our global customers. In the interest of having consistent sizing offers in store, we decided to take back some items from some of our wholesale channel partners, resulting in a onetime correction to our reported net sales figure. With the high DTC demand and confidence in our new apparel product lineup, we expect growth rates to continue to accelerate significantly from here for the remainder of the year.   While driving strong sales growth, we are also able to significantly increase our gross profit margin. The higher net sales mix from the strong margin DTC business compared to the prior year as well as the progress we made to manage our inventory more tightly allowed us to reach a very strong gross profit margin of 59.7%, up from 58.3% in Q1 '23.   Looking down the P&L. SG&A expenses, excluding share-based compensation, were 48.8% of net sales in Q1 this year, increasing slightly from 47% in the prior year period. The increase is primarily the result of higher marketing expenses as a percent of net sales. While we had the relatively low investment level in brand building in Q1 '23, we increased our investments in upper funnel brand-building campaigns and partnerships in the most recent quarters. We feel the strategic focus is very important to support the next growth phase and the long-term health and success of the on brand. And you can expect to see even larger activations as we approach the Olympics and other big brand moments this summer.   Resulting adjusted EBITDA margin for Q1 was 15.2%, up from 14.5% in the first quarter of 2023. This number came in ahead of our expectations and puts us in a very good position heading into the remaining 9 months of the year. As anticipated and communicated at our full year results in mid-March, the reversal of the U.S. dollar Swiss franc FX rate from its low point at the end of December means our U.S. dollar balance sheet assets were revalued at a significantly higher rate at the end of March. The result is a sizable unrealized FX gain in Q1 and supports a very strong and record quarterly net income of CHF 91.4 million, which brings me to our balance sheet.   Capital expenditures were CHF 9.2 million in Q1 '24 or 1.8% of net sales, even slightly down in absolute terms from the CHF 9.7 million in the prior year period. As previously mentioned, this will begin to increase again in the coming quarters as a result of higher expenses in connection with our continued retail store rollout. On the inventory side, we continue to actively manage our inventory and decouple our inventory growth from our top line expansion, which drives efficiency in our working capital. Our inventory position has remained broadly stable versus the year-end and stood at CHF 65.3 million at the end of Q1.   Finally, as a result of our strong operating cash flow of CHF 81 million, we have further increased our cash position from CHF 494.6 million at the end of 2023 to CHF 84.6 million at the end of Q1 '24. With that, I would like to look ahead towards the remainder of the year. We are all extremely excited for the Summer Olympics that are less than 2 months away, taking place close to on home to road to Paris and the games themselves offer a great opportunity for us to build our credibility in and beyond the running world.   As mentioned, we are planning to open a second store in Paris this time on [ Shams LLC ]. During the Olympics, our 2 stores will serve as hubs for the running community to connect and move. Many of our athletes have already qualified or been nominated by the respective countries. We expect over 2 dozen on athletes to hit the starting lines across track, triathlon, tennis and of course, the marathon. And we are ready to support them with our fastest, most innovative and most sustainable performance products yet.   Until we get there, we will tell the inspiring stories of our athletes on third journeys towards what is for many, the biggest moment in their careers. For [ Dominic Global ], a review from South Sudan, it is the heartwarming story of a multiyear fight towards the ultimate goal to present Switzerland in Paris this summer and the legal battle to make it possible, which is still going on.   Outside of running, we will also continue to focus on further building On's brand awareness to allow us to reach new highs. To do this, we know we must scale existing and new audiences globally with large brand moments, which includes collaborating and partnering with meaningful individuals in the broader sports and fashion space. One example is our recently announced collaboration with FKA Twigs that Caspar mentioned. And in a few weeks, we will announce a first big global partnership with an individual that will further build our credibility and awareness with our target communities. With everything else, we have planned for the next few months. We are fairly certain the world will be talking about On more than ever before. Regarding our business and financial outlook, we are optimistic and excited about our momentum and pipeline and what is in front of us for the rest of the year.   At the same time, we remain prudent in the way we plan for the future, always taking into account the dynamic macroeconomic and consumer environment. The continued high demand for the own brand across the globe and the strong order book for the second half of the year, however, give us a lot of confidence to reiterate our full year constant currency net sales growth rate expectation of at least 30%. Considering the FX movements over the past weeks since our full year reporting, this implies an increase to our reported net sales expectation from CHF 2.25 billion to at least CHF 2.29 billion at current spot rates.   As you have also seen in today's release, we are retaining our gross profit margin guidance for 2024 at around 60% and continue to expect an adjusted EBITDA margin for the full year in the range of 16% to 16.5%. -- which remain, we are ready to bring our own fire to Paris and beyond. It will be an exciting summer. We wish all of you a great time and look forward to welcome you back in mid-August for our half year 1 results.   With that, Caspar and Marc and I would like to open up the session to your questions. Operator, we are ready to begin the Q&A session. 
Operator: [Operator Instructions] Your first question is from the line of Jay Sole with UBS. 
Jay Sole: Great. So a lot of great information in the prepared remarks. Could you talk a little bit more about Asia growth. Martin, you mentioned Japan, a lot of momentum in Japan. But what about China and some of the other regions in Asia. Can you just talk about how the brand is building momentum in those other regions? 
Caspar Coppetti: Yes. Welcome also from my side. Thank you for the question, Jay. So I think we're very proud that for the first time, we surpassed the 10%. We also stated that we want to bring basically China alone to over 10% over the next years. And we feel we're well on track. So China is going according to plan. We actually just launched a new live streaming studio. It's taking more and more share from our D2C sales as well. So we're really going with the market there and continue to elevate the brand within the digital environment will be at roughly 30 own doors a little bit more by the end of the year. So we're also continuing that expansion well demand is great.   We're talking with one of the key small partners as well on bringing larger flagship stores. So the first one in China to life, which will be an important milestone for us. We're very happy with what we're seeing in China. Japan is extraordinary. It's well ahead of our expectations, and we see a lot of tourism going into Japan as well, and there is a benefit from the currency and that we're seeing, but not only our own store is doing really well also our wholesale doors and DTC is ahead of the plan. And then also Australia, we're very happy with vested. So Asia Pacific is really a super, super positive picture for us. 
Jay Sole: Terrific. And if I can ask one more. You mentioned the [ Cloud Tilt ] has exceeded expectations. Can you just talk about how the product assortment and the sales within the price assortment continues to diversify beyond the cloud and Cloud into other styles. Can you maybe give us an update on where that stands right now. 
Martin Hoffmann: Yes, happy to jump in here. Look, diversification has been a big game for us for a long time, and we're actually very happy that we are able to diversify our software across categories. But then within category, we're not dependent on a few stats. -- almost to the opposite where we're now actually focusing more on building franchises. I think if you want to be a little bit self-critical, we probably have too many product brands and consumers cannot remember all of them. So that's why we have you for example, in running push-on franchise to run the franchise and the server franchise.   On the Life side, you mentioned the tilt definitely being blown away by the response. We had an early indication of how good it could be with our live collaboration that focus on that. But if we had more product, we would be definitely able to sell you more of the tilt. With that, on the life as we now have a really balanced portfolio and obviously, Cloudnova and also [ Roger ] franchise orders stand out to be mentioned... 
Operator: In the interest of taking as many questions as we can today, please limit yourselves to one question.   Your next question is from the line of Tom Nikic with Wedbush. 
Tom Nikic: Thanks, everyone. I want to ask about some of the new channels of distribution, Dick's, Foot Locker, JD Sports, et cetera. I know you mentioned Dick's briefly in the prepared remarks, but just how is the brand performing in those new channels with distribution? And can you just give us an update on the door counts for those retailers? 
Caspar Coppetti: Yes. So, I want to basically take discussion to one level higher. So, to give everyone a bit an overview of like how our business is changing. I think what we're seeing is that with those key accounts coming on board that they're playing a more and more important role in our overall sales. And what we're very happy with is that we are able to sell the product that we want to sell in those stores. So, if you look, for example, at DSG, the one product is resonating really, really well. And this is in the end, what's also reflected on the runners count and we already mentioned.   So, we're catering and we're learning to cater more to these bigger doors, where we're performing very well. At the same time, we want to continue to be great partners with the field accounts and with on specialty. And so, we're investing a lot also in warehousing capabilities on being able to fulfill reorders, which is very, very important for those businesses so that we can really have the product in the channel when the consumer wants it. And so, we're right in the process, basically, especially in the U.S., in seeing a little bit of that shift.   Overall, the number is very, very positive. So demand is extremely strong, and that's what you see reflected in the overall number. Now very quickly a number of stores, CSG, we're currently at 220 doors. And by the end of the year, we'll be at 285. We will add those additional 65 doors as part of fall winter 24 with the selling of the new collection. 
Operator: Your next question is from the line of Cristina Fernandez with Telsey Advisory Group. 
Cristina Fernandez: I wanted to see if you can talk about how the order books have been trending in the past couple of months since we last book, particularly in the back half. Last call, I think I recall you mentioned that given where the order book trended, there could be upside to the outlook for the year. Is that still the case? Any color there would be helpful. 
Caspar Coppetti: Thanks, Cristina. Let me maybe go a level higher here, but come back to your specific number. So, as we had mentioned in the prepared remarks, we really had a great start into the year and especially our D2C channels have seen really strong growth globally. And at the same time, we were fully in a position to fulfill that demand from a warehouse inventory perspective. If you look at our Q1 results, they also strongly confirm the pillars of growth that we outlined at the Investor Day last year. So, from winning and running to the performance of our own retail stores to apparel. And now over the next months, we expect really big trend moments, and we are super excited about this.   So, if we look ahead into the next -- for the rest of the year, then really that big bang in summer is our focus. So really, the month of June, July, August around the Olympics. This is where we will focus on also when it comes to our marketing budget. So, it's less about Q2, Q3. It's really during summer, our goal is to elevate the brand to a new level. If we look at how we started into the second quarter, then that start was good, so that the demand for the brand remains high, Mark was just sharing that. So, across all our different channels. and especially some key styles that also Caspar mentioned earlier, they have a very strong demand, partially even higher than expected. And so, if we now factor in also the transition that we are doing on the warehouse side, this puts us partially also in a challenging position to have the right products at the right customer at the right time. And this is clearly a focus for us in the weeks to come.   But if we look at our order book for the second half of the year, and that growth is beyond the growth that we have in our guidance. We expect the strong demand to continue to grow and be there. And this is fully behind the guidance that we have given and confirms the strong outlook that is there. 
Operator: Our next question is from the line of Ari Tianello with BNP Paribas. 
Aubrey Tianello: I wanted to touch on the Americas region and the strength you saw there in 1Q. Is there any more color you can provide on how Americas performed in terms of the channels? And then is there any change to what you're seeing or just how you're thinking about the Americas compared to a quarter for the rest of the year? 
Caspar Coppetti: So, I think important for is what Marc said in the beginning. -- we are seeing basically a change in how our business in the U.S. is built. And what is the share of key account, what is the share of field accounts? What is the -- the contribution of key accounts also in the online business. And as shared, the demand for the brand across all the different channels remained super high. And this is, I think, the important piece that demand is there. And now we are fully focused on executing in this new environment and to make sure that we bring the right product to the right customer through the right channel with the goal of growing our D2C channel stronger than our wholesale channel, as we outlined this in the Investor Day. But really, we are very confident on what we are seeing in the U.S. and some of the big brand moments that we have planned over the next months, they will further elevate our brand awareness in the U.S., especially... 
Operator: Your next question is from the line of Alex Stratton with Morgan Stanley. 
Unknown Analyst: This is Taberna on for Alex Dr. Can you first talk about what the cadence of sales was within the quarter? And then any color on trends you saw in April? 
Caspar Coppetti: Yes, I think we -- so we already elaborated on now in the last 2 commentary on how we're looking at the next couple of months. I really want to reiterate how important summaries for us. I think we're going to -- we're focusing on bringing new partnerships to life focusing on the Olympics a lot. And so we're not -- we're really not running our business on a month-by-month basis. We're running it very long term, and this summer is a very important part of that where we aim to take the brand to a different level. And I think the answer to Q1 is stand the same. I think reporting quarters and months. But basically, we're very happy with how the month has unfolded. It was a good January. It was a great February. It was a great March. So -- and this has resulted in the overall result. It was not skewed towards a certain month or there's no trend or whatever that you could read into those numbers. 
Operator: Your next question is from the line of John Kernan with TD Callon. Cong 
John Kernan: Congrats on all the momentum. Just wanted to talk to the gross margin outlook and your gross margin is up about 800 basis points from Q1 2022. How should we think about the gross margin outlook for the remainder of the year? And how is the flow of COGS as we get through into the back half of the year? 
Caspar Coppetti: Yes. Thanks for the question, John. So we were always saying that our business has been operating on our target margin for quite a while already. But that in the past, we had many times, external effects that basically didn't allow us to report that full margin. And I think Q1 is now a further confirmation of that message. And the upside from last year is clearly driven by the strong DTC performance and the higher mix of from the D2C channels that we have in there. At the same time, we mentioned it on the call, we managed our inventory very successfully over the last 12 to 14 months. So we have less impact from debt side, which also had an impact on our Q1 numbers last year. And so our guidance for the full year is to be around 60%. Our long-term goal is to be 60% plus. And I think we show it quarter-over-quarter that we are operating the business on that level. We have a very high share of full price sales. All our channels are contributing massively to the strong margin also our new retail channel. And so this is a validation for the premium position that the brand has. 
Operator: Our next question is from the line of Michael Binetti with Evercore. 
Michael Charles Binetti: Congrats on a great quarter. Thanks for all the detail on the strategy and the build-out and the long-term outlook. I wanted to ask you, I guess, just one small question on the P&L. Is there any way you can help us size the onetime pullback of apparel you mentioned in the management comments and the accounting for that, was that the contra revenue in the quarter? I'm just curious how to think about that. And then could you speak to some of the things that we saw intra-quarter? There was some more volatility than we're used to in some of the near-term metrics around the distribution center and some questions on that, how the new distribution center is operating? Are there still duplicative costs running in parallel as you continue to ramp that facility? And is there anything you called the normal cost to expedite deliveries early in the year or maybe even if you've seen some instances where you left demand on net in the quarter? 
Caspar Coppetti: Thanks for your questions, Michael. Let me take the first one on apparel. As you all know, Apparel is a huge opportunity for Alan, and we've made great progress. One thing that was holding us back a little bit that our sizing wasn't fully consistent with what other brands were doing in the market. So what we've done now in the first half of the year, and we'll see a little more of that in the second half of the year. We readjusted the sizing and the fit so that it's more consistent and we're able to capture more body types and allow more consumers to come into the on-brand also from the apparel side. And that's been very well received. And with that, we've helped our retail partners to some degree, to exchange not so well fitting product with Grade 5 product. It's already paying off. We're seeing tremendous success, as you've heard in the remarks on our own channels with e-com or our own retail stores where apparel has seen a very large lift seeing lower return rates, and we're seeing some stores delivering 25% of per share. We're very happy about the progress we're making there. 
Marc Maurer: Thank you, Caspar. And I think we shared the number in the last quarter, but our prebooks for apparel for the second half of the year are up more than 100%. So, this also gives us a lot of confidence into the future product that's coming and how our retail partners are responding to on the warehouse side, I think the big change we're really going through is the automation of the Atlanta warehouse, which is an ongoing project. So, we're very happy that we were able to move into the new warehouse.   So, the double count of the facility is slowly ramping down. At the same time, we're now running a huge business out of one warehouse and automating the same warehouse. So, this poses a huge challenge to the team, which they're mastering very well. Otherwise, we wouldn't have been able to exceed or to show you the numbers that we're showing for Q1. And luckily, we have a great partner at the U.S. West Coast as well, and so we're balancing some of the order book with LAX. And so I think this is an ongoing process that's happening.   On the gross margin, Martin said I, we're quite happy. There's not a lot of extraordinary impact there. What might happen is that the product demand that you're seeing that is very, very strong that we're trying to fulfill in the future might lead to a little bit of air freight, but nothing hugely that we're expecting there. And I think outside of the U.S., the warehouses are running very stable and happy where we are. 
Operator: Our next question is from the line of Ashley Owens with KeyBanc Capital Markets. 
Ashley Owens: So with new products and overall heavier release cadence in 1Q, you touched on some of the bigger wholesale partners. But can you just talk about any progress you're seeing within Rent Specialty? And then to focus back on Tilt for a second, I think there's 3 colorways in men and green women's. Just any plans to capitalize on the better-than-expected performance there. 
Caspar Coppetti: The second... Yes. So I mean, luckily, you have more colorways available and together with the Love collaboration. And so if you want to upgrade your current cloud tilting to 1, and we highly appreciate it. And we will extend Antolini if you look at how we launched product in the past. We always launched with a set of colors and then went deeper into the color options as the product gained momentum to also manage our STUs. So also definitely more color options that we're trying to bring. And then on round specialty and on the field accounts, I think, again, also going back to some of the comments.   When you look at those accounts, reorders and fill-ins are very, very important, which is a bit different to how key accounts are operating. And we are right now in the process of really expanding and the capabilities to be able to fulfill those advance orders very, very quickly. And so that is definitely a challenge in Q1. And the reason why we need to do that is because demand is there. So, we see that the cloud monster specifically is resonating really well. So, the counter franchise grew over 30% with both products combined in on specialty. And we're seeing that we, as a brand, are continuing to gain share within unspecialty overall. Kasper already mentioned that. We see that other brands are investing a lot into the channel, which is great. I feel the channel is important to us, and we want to continue to elevate it. And we continue to deliver amazing innovation as its own Helen Sweden, and we're confident this will continue to allow us to perform well in the channel. 
Operator: next question is from the line of Jonathan Komp with Baird. 
Jonathan Komp: Just 2 questions, Martin, if I could just ask any more color on how you're planning really as you finish Q2 and then into the second half, given you are assuming some revenue acceleration from the first quarter, and you called out a dynamic environment. So just any more color on your planning there. And then maybe Caspar more broadly. This is the first time you're engaging nonsports brand ambassadors. So just could you give more color on the strategy there? Any thoughts on how you see that developing over time? And then your existing partnerships with Roger and others, any changes in the nature of those relationships or how you view some of the longer-standing brand ambassador relationships? 
Martin Hoffmann: Thanks, John. So -- as mentioned, our focus is on the months around the Olympics. This is also where we allocate the strongest part of the marketing budget. So clearly, also when it comes to the performance of our e-com business, this is where we will fuel that performance the strongest. And so rather holding a little bit back before to really optimize the moment that we expect to have out of the great things that we are about to speak about. And at the same time, as I mentioned, the order book in our -- with our wholesale partners is very strong, and we have great product launches still to come for the second half of the year and also for the rest of this quarter. And so, this will be delivered as normal. And so, this is driving the acceleration. We mentioned some of the impacts that hindered us to show a stronger growth rate in the first quarter or the stronger base that was there from last year. And so, this gives us the confidence that at least 30% guidance is basically the right one seeing where the demand is at the moment.    [Indiscernible] John, happy to comment on the celebrity endorsement question. We really feel that the rules of engagement have changed between brands and celebrities. As we've shown with the Roche partnership that we set up as a multi-decade partnership -- the consumers are really asking why. It's not just marketing, what's the deeper collaboration. So that's -- that's how we're looking for in partners. Now we don't feel that our playing field should just be sports. There's other influences in culture and FK tweaks as both as an artist. She's a performer. She's a singer, she's a denser. She's currently fit person. We feel it is a great match for the brand, and we will use her to gain further ground into the training space. And those kind of partnerships is definitely something that you might see more of from on in the future. 
Caspar Coppetti: Then to answer your third question in one question, and thank you for asking the question. Very important for us and I think also for this call. So the partnership between Roger and Don is extremely long term, and we are very, very happy in how it's shaping up. And the Roger franchise has grown over 45% this quarter. So we're seeing that the partnership is working from a product perspective. Water spent a lot of time here and he's very, very committed to it. Then at the same time, the partnership is very important for how we shape Tennis and how we can use tennis to influence the all-day appearance of the brand as well. And you're all experiencing the successes of [ Ege and BeNe ] wouldn't be possible without [ Roger ] and tomorrow. We'll basically release the next set of athletes together with Roger. And you'll see that many of those athletes are still in the very, very early stages of their career. So this shows again that we're really in this for the long run.   So we're very happy that Roger committed for the long run. You all know that we cannot comment on short-term share sales speculation for anyone, but we're super, super happy with where we are, and [ Roger ] is super committed to... 
Operator: Your next question is from the line of Anna Andreeva with Needham. 
Anna Andreeva: Congrats on a nice quarter, and thanks for all the color so far. We just had a quick follow-up on wholesale. I came in a little bit above expectations despite the door closures during the quarter. What was the sales impact from the door closures? Did that come in in line with plan? And just curious, are you seeing sales transfer elsewhere from that? And just remind us how should we think about this impact to the second quarter? 
Caspar Coppetti: Yes. So, the impact overall over the full year of the door closures in EMEA is roughly 10% as also stated in the last earnings call. It's a bit heavier in Q1 and Q3 as those are kind of the larger selling months and portfolio accounts. So, it's ever in Q1. So, it was a bit higher than 10% of the wholesale volumes, and this is important the 10% is always the wholesale volume in EMEA and not the overall one. So, it's a bit heavier in Q1 will be a bit heavier in Q3 and then kind of slightly below 10% in Q2 and then way more down in Q4. So, this in Q4, totally in line with expectations. And what we're clearly seeing is we are able to continue to build on as a performance brand in the channel that are serving a performance consumer.   We're also able to bring in even younger consumers into the brand. So, we started a partnership with Sports Direct in Europe to cater to that younger athlete, and that's working very, very well. So, for example, we were the #1 running brand when we launched a brand at the London Oxford Street store of Sports Direct, and we're continuing to see on amongst the top 2 or top 3 brands in the doors where we're in. And then we also launched with Zalando. So in Europe, we also already spoke about that in the prepared remarks. And we're seeing very clearly that our own channel is profiting from some of the sales that are not available anymore in some of the comforters... 
Operator: Your next question is from the line of Janine Stichter with BTIG. 
Janine Hoffman Stichter: I want to ask about the store format. I think you opened a larger store for that earlier this year in Portland. I just want to know what in the learnings were on that and if there's anything there that you're seeing that will incorporate your future openings? 
Caspar Coppetti: Thank you, -- and we're super excited about the Portland [ mStore ] launch, which was a relocation from a smaller store that we had into a 315 square meter front of house store. So, this is not the largest format that we have. So, for example, London is bigger, but then also our Paris store will be bigger. Milano will open this year with roughly 500 square meters. So, what it means is, basically, we're looking at 3 different store types. We've got flagship stores, so you can look at Milano there. New York [ Flatiron ] will open. You have Chandeliers those are the largest formats, then we got kind of medium-sized format. So, for example, [ perisizramab ] would be one Austin is one that's opening. Miami is one.   And then you have the smaller formats, which are mainly relevant in China. What we're seeing is that larger formats work well for on. They work well when they're in high street locations because we can also attract tourists. And so that's, for example, one reason why Japan is working very, very well as well. And then we're also seeing that in order to bring apparel to life, we need larger stores. So the collection is growing, and we need to be able to bring the zoning to life that we have in the stores according to the sports activity. So this is a change that's happening. This is a change that we're already seeing in Portland, and that's working very well. So we're very happy with the store opening and how own retail is trending... 
Operator: Your next question is from the line of Joseph Civello with Truist Securities. 
Joseph Civello: Just wanted to follow up on the earlier questions on the Americas business trends in 2Q. Is there any more color you can give on the D2C side specifically? And are you seeing any impacts to your D2C business as your wholesale segmentation kind of continues to evolve... 
Caspar Coppetti: Yes. Just reiterating what we said. Important is that the demand for the brand remains high in the geography because this allows us to use our channels in the right way and to make sure that they serve the customer in the best possible way, while at the same time, we are driving also the highest margin for out of this combined with a durable growth. And so that stays high. I mentioned we are holding back on some of the digital spendings in the beginning of the quarter to really make use of the summer then, but demand is strong. And it's absolutely the right decision that we took over the last 2 years to expand into those key accounts they significantly elevated the brand in the region. They allow us to reach the right customers. They are selling the right products. And in the end, there is a mutual benefit for both channels. So, our retail, our e-com is supporting the wholesale channel and the other way around. So, we really believe in the strength of this multichannel business model that we are having... 
Operator: Your next question is from the line of Dylan Carden with William Blair. 
Dylan Carden: I'm just curious if there's any thought of the need to hedge currency. And if you could remind us what fluctuations in the U.S. dollar to Swiss franc, how that flows through to gross margin, in particular, given that I think your cost of goods is primarily denominated in dollars. And then -- sorry, just in the interest of sort of setting expectations appropriately, -- any way to quantify or speak to the big bang, you just kind of called out as a big thing, but the lift that you're expecting in around the Olympics as it's embedded in guidance? 
Caspar Coppetti: The big bang is only a big bang if we don't talk about it before. So, we keep this secret. The hedging is something that we'll be looking into. So, I think we still have room to optimize the way we are handling our different currency flows and also optimize the impact and transparency on the impact there on our financial results. But this is why we are now including constant currency also in our official filings, which makes it easier to understand. We think that the impact is most relevant on our net sales growth because this is where we see the strongest impact from just the high share of U.S. dollar business that we are having. It's already much more naturally hedged when it comes to gross profit and EBITDA. So, for example, on gross profit, the FX impact in the quarter was only 0.1%. So very marginal and a similar picture on EBITDA. But of course, when it comes to the balance sheet impact, this is where we can optimize our hedging policy in the future. 
Operator: Your next question is from the line of Adrian with Barclays. 
Unknown Analyst: Congratulations on a great start to the quarter. My question is on inventory. It's extremely clean and lean, and that's great. We love to see that. But really, my question is how reliable and stable is sort of the global supply chain? And how confident are you in taste capacity for the back half of the year and potentially any impact of the big bang? And then kind of my follow-on to that really is, can you just talk about generally the evolution and the diversification of your supply chain as you expand into other categories like apparel... 
Caspar Coppetti: Okay. Thank you. So, to take the big bank question first. I just received videos of leaving the product for the product and for the big bank leading the factories yesterday. So, I think the supply chain is definitely ready for it. But hey, I think what's -- we plan our supply chain for obviously, the marketing activations that we have throughout the year and for the guidance that we're giving you. And there's absolutely no disruption right now, except you're all aware of some detours that some ships need to take that adds 1 or 2 weeks into the supply chain. But other than that, it's very stable. We're happy with where we are from a factory output perspective. So, we're very confident that we'll have enough product and to satisfy the demand that is underpinning and the guidance that we're giving. What we're definitely trying to chase into is, and we spoke about that as think we see higher-than-expected demand into certain products and into certain colors. So we're trying to capture that and bring that into the market by Q3.   So, there's always a little bit time lag for that to happen. And then we explained in the LRP that we want to bring apparel to over 10% of the business. And we're really trying to establish the supply chain or we have established a supply chain with factory partners that are able to bring the items that we want in the different categories to the market on time. And so, we're quite confident there. And we're also really looking forward to be able to talk more about innovation that [ Helenobiri ] was varying and when she was running Boston. So, we'll talk about more about that around the Olympics, and we feel this can have quite an important impact on how we look at creating products for the future... 
Operator: Today's final question will come from the line of Sam Poser with Williams Trading. 
Samuel Poser: I guess I just have a couple of follow-ups. One, the whole -- can you give us what the wholesale growth by region was? Number two, can you also talk about sort of the Europe trend less the -- if the demand is so great, why is the impact of the store closures as great as it is, given that if the demand is sort of doesn't change when you close accounts, those sales should just move to other places. How do you think about that? 
Caspar Coppetti: Yes. So, we cannot break down the channels into the different regions. But very clearly, in Europe, we have the impact from the store closures. What we also see in Europe, and we spoke about this on the last call already, is the challenging environment that we see with some key account partners in Central Europe around the bankruptcy of the [ Sika Group ]. So, change like Spot Check and cashout that are heavily impacted there with a high level of uncertainty, certain store closures that are confirmed. So that clearly impacts us, it impacts the customer. And so therefore, basically, the network there to fulfill the demand is weaker in wholesale, and this is also why we see a very strong acceleration of our D2C business in that region. And at the same time, looking more into Western Europe and Southern Europe, so Italy, Spain, France, U.K. there we see really strong growth rates across both channels. So, we have a functional system of wholesale partners and our D2C outlets in order to capture that demand... 
Operator: Thank you all for joining the -- on Holding AG First Quarter 2024 Results Conference Call. Thank you for joining me. You may now disconnect. And we are clear on the speaker line. Thank you all so much.